Operator: Good morning ladies and good and gentlemen thank you for standing by. Welcome to Innergex Renewable Energy’s first quarter 2013 results conference call. (French Language). At this time all participants our time all participants are in listen only mode. Following the presentation we will conduct a question and answer session or analyst and institutional investors. And instructions will be provided at that time for you to queue up for questions. (Operator Instructions) I would like to remind everyone that this conference call is being recorded today, Wednesday May 15, 2013 at 10.00 AM Eastern daylight time. I will now turn the conference over to Marie-Josée Privyk, Director Investor Relations, please go ahead. 
Marie-Josée Privyk : Thank you, good morning ladies and gentlemen I'm here with Mr. Michel Letellier, president and CEO of Innergex and Mr. Jean Trudell, chief investment officer and senior vice president, communications. Please note that the presentation will be in English. However you may address your questions either in French or English. I would also like to point out that journalists are invited to call us after the conference call if you wish address any question. In a minute Mr. Letellier will provide a review of our operating activities during the last quarter. Afterwards Mr. Trudell will provide some details on our financial results to March 31, 2013. We will then open the Q&A session. Please be advised that this conference call will contain information that is forward looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. The risks, uncertainties and other factors that could influence actual results are described in Innergex’s annual information. The financial statements on the MD&A have been filed on SEDAR and are readily accessible via the internet. You may also access the press release, financial statements and the MD&A on the Innergex website in the investor relation. Also this presentation may refer to financial data that are recognized measures according to international financial reporting standards as they do not have a standardized meaning. I now turn the conference to Mr. Michel Letellier.
Michel Letellier: Good morning everybody. I guess for the one – for the people that we are looking into the election in BC with a short night is different people in Montreal. We were quite surprised to see the outcome. I must say that we would have been willing to work with the NDP government as well because we think BC is a great market on the long run for us. We think that working closely with the First Nation and local community and other to develop long term renewable project is very beneficial and I think that on the long run it’s a winning combination. But certainly with the hand in the liberal in power this morning for us it’s a little bit more I guess business as usual because we know they are positive, we know they are focusing on trying to have the LNG and that would probably the biggest line in their political program to have an LNG being built in the north of BC. We understand also that it cannot be fueled by only renewable energy that an LNG will be producing the energy in order to compress but there is a lot of other ancillary power that will needed to be powered. So we think that together with the First Nation and local community there is quite a bit of opportunity on the road let alone the economic benefit from this investment will certainly generate some demand for electricity throughout the province. So we see BC as a good market for renewable energy. Even though they want to have site fees (ph) build I think it’s important on a long run for BC to have good large hydro in their portfolio. It will enhance their ability to match with renewable energy especially wind as an example. So we don’t see that as negative aspect. We will also see that probably site fees will be quite expensive and then we will be comparing the cost to build wind energy. People will see that wind energy BC and small hydro can be competitive compared to big hydro facility. So I guess this morning for us it’s a little bit – I won’t say at the least because like I said we would have been working with NDP but it’s probably easier for us to see how to evolve in BC with the liberal government for the next fours. So to some degree, little bit of a relief for us this morning. The next big topics I would like to chart is the great news that we have from the Premier Pauline of Quebec last Friday in Gaspe, in Matane. I follow those two presentations there, I chat with there a little bit and we were very happy to see the outcome of this announcement for people that haven’t looked at that announcement, our partner the Mi'gmaq First Nation has been awarded 150 megawatt opportunity to negotiate directly with the Hydro-Québec. You will have 20 years contract for the wind project that they have been working since let’s say 2003. So one has to understand that the Mi'gmaq First Nation have claims all over the Gaspé Peninsula. There are three bands that represent the Mi'gmaq First Nation, this band claiming the ability to build the project in the Gaspé Peninsula, that’s their only demand, that they have been historically asking for the complication of the other project that have been built on their traditional territory. But I think that it was a reasonable demand. They have been demanding that since 2003 like I said. The previous government, the liberal government were willing to discuss with them as well. But I think I salute (ph) what they have taken the decision to go ahead with the direct negotiation with the First Nation with that project. As you remember we had announced last year the joint venture with the First Nation and since then we have worked extensively with them in order to develop the project, get the support from the local community, built up the engineering, built up all the wind data. So we are very advanced in that project. As a matter of fact, most of the environmental studies are done, we would be in a position to put them to the government somewhere early, very early fall and in order to have (inaudible) Mi'gmaq in all the project somewhere in 2014. So clearly we have project ready to start construction somewhere in 2016 and shorter possibility to have (inaudible) will be mid, late summer of 2016. Very, very excited about that hydro project. And also we have the ability to bid into the 200 phases of that announcement. There is another 300 megawatt of possibility to bid. This will be in previous RFP but we will have a particularity that it will have to be joint venture with the whole community, or the community itself. So for us we have very good project especially in Gaspé Peninsula, because the 300 megawatt is specific to the Gaspé Peninsula and what we call (inaudible). In those two areas we have quite a bit of good project that we are in process of proposing to those municipalities. So this is a good financial for us. And there is another branch, it’s a 150 megawatt again joint venture with the municipality but this 150 megawatt is for the rest of Quebec territory. Again we have a couple of good project that we intend to propose in this trench. And the last trench was 200 megawatt directly attributed to Hydro-Québec production. So directly we don’t have a chance on that 200 megawatt although it’s – it would be interesting to discuss with Hydro-Québec in order to have a good strategy in order to get the best turbine available. So we will initiate discussion with Hydro-Québec in order to join our effort given the fact that we have 150 megawatt with the First Nation and they have 200 megawatts of already 350 megawatt of possible order for turbine manufacturer. This is important so we may have the ability to negotiate at good price and making sure that we would have the best model available to build Hydro-Québec. So this is a great news for Innergex and I am very happy to see that we have this opportunity to work with Hydro-Québec. In terms of updates with our project under construction, pretty straightforward, we have Northwest Stave that are advancing as scheduled and on budget. So far we are very happy to see the evolution of those two projects. We are still maintaining the due date for this fall on both projects. Construction is underway on Northwest as well after the winter month. Now the construction is in full speed and very positive about the outcome for this fall and excited to be able to have those two projects. We also have started construction on Viger-Denonville river. The weather was little bit challenged at the beginning but since then everything cleared up and the construction is basically doing, a little bit more on that in the next week. We are little bit in advanced on the schedule. So things look very good as well. We were visiting two plants in the Gaspé Peninsula Friday with the Pauline Marois blocks. One was (inaudible) and the other one was (inaudible) in Matane. And in both cases we have seen some product that we built for – we have seen the blades being built, we have seen the tower being built for Viger-Denonville. It was good to see that things are going to be coming for the Viger-Denonville as well. In terms of the development, as you know we are very busy in BC promoting or developing the Upper Lillooet cluster, processing very well in terms of permitting, we think to get the final order license in those projects, it’s not real quick, we have been presenters with draft for the license that made a lot of I guess we spent a lot of sense on those, waiting to have them before we could start see modernization on the site. In the meantime we are advancing the last engineering and I guess the negotiation with contractor. So on those four projects we are advancing very well and we are very hopeful that we are starting the construction in those projects this year. Maybe Big Silver, we have a bit more time, on Big Silver, we need to be big. So we are looking into the contractor to maximize the schedule as well. That would be my comments. So I will let you with Jean guide you through the financial statements and obviously we will be available for the question later on.
Jean Trudel: Good morning everyone. I will start with just a quick overview of the quarterly results. I guess in the Q1 Innergex produced 21% more electricity which translated into a 27% increase to revenues and 29% increase to adjusted EBITDA. These increases are due to capacity additions and mainly the commissioning of the phase two of the Gros-Morne wind projects and the start up of the plant in May of 2012 and as well as the acquisitions of Brown Lake and Miller Creek facilities. For hydrology conditions, in BC due to a colder than expected climate and lower wind conditions were only partly compensated by better than anticipated hydrology condition in the eastern provinces. Overall production stood at 84% of the expected long term average which was nevertheless better by 3 points when we compare to Q1 2012. And it’s a bit of a repeat of last year in the sense that it was a same thing cold climate in BC that slowed down the production in Q1. And it’s still early in the second quarter but so far for the month of April production seems to have picked up, the winds and the solar segments are performing at 112% and 111% of their respective long term average, and the hydro segment is at 98% of long term average with the marked improvements in our BC operation. Overall the month of April, it’s just the one month but with the month of April it’s at 1.02% of long term average and it’s difficult to predict what May and June will look like and the partial results should definitely not be used as parcel in the second quarter but it’s still the first month that’s kind reassuring. Now as far as our financing activities go, we have selected a lender for the Viger-Denonville projects and we are now documenting the loan. This non-recourse project financing could be for an amount of up to 65 million, of course it’s subject to the different metrics besides the loan, the number is not final. But it’s a commitment that we have received from the lender. We also have part of this term sheet that we are drafting now we also have a hedged facility of course to hedge our results against interest rate movements. We have an LC facility to oppose the appropriate letter of credit to the concerned parties and also a substation loan that would be put in place to bridge the cost of building the substation at Viger-Denonville. We are paying the usual reimbursement from Hydro-Québec. This loan is expected to be for a period of construction plus 18 years and we expect closing in the coming months. The other financing that we are working on now is the Northwest Stave financing and I am glad to report that all the documents are in final form of the conditions precedent to close and to draw a map. So we therefore expect a closing in first half under this approximate $72 million non-recourse project financing over the coming weeks. This loan will have a fixed rates, it’s done with fixed rate lenders, we will have a fixed rate throughout the construction period and it will amortize thereafter over 40 years and concurrently with the first draw we will unlock the bond forward that were used to hedge ourselves against interest rate movement. So we will do it concurrently and it should result at this moment as we speak it should result in a realized loss of about 3.7 million and that obviously a number that moves with the movement in interest rate until we lock. But this loss is – obviously it’s important to know that this loss is fully compensated by a lower than expected fixed rate over the next 40 years. So right now as it stands in the market and the bond rate that we see, we should be in a position to lock at around 5.25, 5.3% and so it’s going to be the lock fixed interest rate for the next 40 years. Of course we are working also on the extending the loan for Carleton as a renewal this year and the reason why this loan is put in our short term liability in our balance sheet. There is no issues there, we are dealing with the same syndicate of lenders and working on the an extension for the remaining period under the TPA. That’s something that we intend to also conclude over the next few months. So a few items that are worthy of note in the Q1, we have received a $2 million, I guess it’s a settlement but a claim that we had made regarding an acquisition that we previously completed. We received this 2 million in the quarter. We also received approximately 15.3 million which is the full amount that we expected to receive from Hydro-Québec for the reimbursement of the substation at the Gros-Morne wind project. So that’s received that’s in the bank as part of our cash in our balance sheet. So on this I will conclude my part and of course I will remain available for your questions.
Operator: (Operator Instructions) Your first question comes from Rupert Merer with National Bank. 
Rupert Merer - National Bank : Looking at that 150 MW partnership can you give us a sense of how the partnership is structured, would you anticipate a 50% ownership and how about the terms you negotiated between you and your partner and Hydro-Québec?
Michel Letellier: I will try to be brief, because directly it’s a little bit like in terms of financing is that we provide a majority of the capital. We are going to start with an ownership for the 15 years that it’s going to be closer to 75%, and then it will give slowly back to roughly 60% for the First Nation after first 15 years and 40% for us for the remaining terms of the joint venture thereafter. So for us it means that we will get quite a bit of I would say cash flow – free cash flow from that particular operation in the first 15 years will be much greater than the 40% ultimate ownership of the project but in terms of cash on cash, it will be quite accretive for us in the first two years. So very, very position on that aspect. In term of negotiation we will have – we will initiate negotiation with Hydro-Québec, for now we don’t have a direct timing but the reason why the government of Quebec wants this particular project to be on the direct negotiation the speed of the timing of the start of construction, one has to understand the call in Quebec for wind is not about producing a lot of energy but is making sure that the industries, the wind industry and Jean related to that industry are still alive and well in Quebec. So given the fact that a lot of the initial contract of the last 2000 megawatt RFPs are gaining finalized. They are all in the schedule for there being new windmill in Quebec, so hence the government is wanting having this 150 MW to come into the book of the different manufacturer somewhere in 2015. So that’s part also, and why we have the direct negotiation with the Hydro-Québec.
Rupert Merer - National Bank: So you said that there will be a target IRR with this project in your negotiations with Hydro-Québec?
Michel Letellier: Yes, with the First Nation early discussion with the government included a target return for the type of project and we were aiming into having a regular internal rate of return for this type of project given the profile of the development of that particular project.
Rupert Merer - National Bank : And then secondly, can you give us an update on your discussions with Hydromega?
Michel Letellier: I am sorry, as you know there is two – three facility or three blocks of facility that we want to draft (ph) from Hydromega. We have still to finalize on the settlement or some conditions from the lenders of campus casing but nonetheless we came to a conclusion on June 15 we have the ability to close the Mi'gmaq facility. And if we have to do a (inaudible) well, so this is the first step towards trying to finalize all the transaction. We are working very hard on finalizing the detail on Kapuskasing. You should remember Kapuskasing is four hydro facilities on the same river on Ontario. I am pleased to report that two of the four have been put in commercial operation and throughout the letter of intent that we have with Hydromega is that we would be buying, it still be once they are into operation. So two have been put in commercial operation, the third one is supposed to be in operation in the next month or so. And the fourth is during summer time. So we are getting closer and closer to a possibility to finalize this transaction this summer with the Ontario facility and we also have the existing facility in Quebec DSM1 which we are trying to finalize the purchase and sale agreement as well. Hydromega is busy trying to finalize Kapuskasing, so sometimes we have little bit of setbacks in capital funding. But everybody is still focused to close this acquisition. And maybe just a comment on the need for equity in order to support this facility as we mentioned a little bit earlier in the last call, we would move the transaction with exchange of shares, that’s part of the transaction with Hydromega and the price has been set before as well which is north of $10. So contrary to maybe to the feelings that you guys have felt in the last meeting, we are not in a rush to go to the market in order to raise equity. Jean alluded so that we can get little bit more financing out of the Carleton in the range of almost $10 million that we can get more out of Carleton financing. So very little need for raising an equity. So we would be finding and optimistic in the market. So we are not in a rush to go out and issue.
Operator: Your next question comes from Ben Pham with BMO Capital Markets.
Ben Pham - BMO Capital Markets: Just I think this question is for Jean, just in terms of the debt financing side and more for the ones with permits and just looking more the next few years and would you guys consider doing a public debt issue with bondholders? Because I know those guys are sitting on a lot of cash right now.
Jean Trudel: Certainly the bond financing is something that we are looking into but at the project level and not at corporate level. So we have had some discussions with rating agencies and brokers on that note just to figure out the market capacity and structure that are there. So it’s early games that these assets as Michel mentioned still need some permits to be obtained before the major part of the construction starts. So it’s going to be more financing that would be done, I would think at the most certainly at the end of this year than now. But we already committed to this, we have seen all the bonds that were issued for projects similar to these projects in recent months. It’s very appealing. That being said, I mean I think it’s – we have to evaluate all these possibilities very carefully when you issue a bond, you basically get all your funding of funds, so there is a significant cost necessary and there are other ways to finance the assets with life insurance companies, for example, on the multiple draw type of a planned schedule. So the cost of having rating agencies and we need to obtain the appropriate rating from the agencies as well as to make it(ph). So there are several ways to finance that we are looking at and yes, bond is one of them. It means it’s not a public bond but it’s a public private bond where you obtain a rating but you don’t necessarily have a public issuer. 
Ben Pham - BMO Capital Markets: And then can you just give us a quick update on Brown Lake, the expansion plan there and then also I think Miller you are looking at some improvement initiatives? Just an update on timing and capital cost.
Michel Letellier: Miller Creek, the capital cost was established to be around $5 million at this time, we are still working in – as we said in the past Miller Creek, we have dewater the pensa (ph) in order to clean up the pensa can make the upgrade. So we want to do it somewhere where we have the least production, so somewhere in September we should be started construction on the Creek on schedule. On ground expansion we have initiated the environmental study. We want also to initiate and we have initiated discussion with First Nation in order to obtain the permits due to the upgrade. So still are on schedule to do those two expansion.
Ben Pham - BMO Capital Markets: And the CapEx it's still kind of 20 million type --
Michel Letellier: Yeah, yeah.
Operator: Your next question come from the line of Nelson Ng with RBC Capital Markets.
Nelson Ng - RBC Capital Markets: Just on the Quebec wind projects, the 150 megawatts. Are they going to be several 50-megawatt facilities or are you -- are they one big project, three projects or six projects? How do you look at the size and then also for the more broadly the Quebec wind RFPs, will they be more consistent with the previous 25 megawatts size as well?
Michel Letellier: No, that’s one big project. It’s only one project altogether, it’s not broken down with pieces. It’s one 150 MW project. Under the flag we have also discussion with the MRC of Lagas BC (ph) to have an extension to that particular part of 75 MW to include their project into our and having a joint venture between the Gaspe MRC for 75 MW which we would hope 50% and also the 150 MW First Nation project, it’s all in the same area with the same inter permission to the hydro-grid. So that could be a very competitive project to be proposed. To answer your question, they have opened up the idea that instead of having small project 25 MW of max capacity, it’s now – cost meaning that we could theoretically propose a one big project and having a multiple MRC and partners seem to want one bigger project than having on many small projects. So that could bring this project being more competitive and having 25 MW smaller projects. This has been understood by the community and have been also understood also by the government. So but again it will be a RFP that will force joint venture with the community. If the RFP to support the wind industry and also to make sure that the whole community can participate in the ownership of project and hence get some financial benefit out of those project as well.
Nelson Ng - RBC Capital Markets: And then moving on to BC, have you continued to progress with your SOP projects? I'm just kind of wondering whether things have slowed down due to the political uncertainty and whether -- if they have slowed down, are you planning to ramp things back up and how are you seeing any kind of change in the SOP project? 
Michel Letellier: The SOP as everybody knows is that the price is a little bit of a challenge. We were hoping to see the SOP project being bigger and in terms of both capacity in the 15 MW. So far we have seen this happening into the program. We are yet to see how it’s going to turn out. But I must say that our strategy in BC is a little bit the same as in Quebec. I think that we would have – we are hoping to have such that First Nation being partnered with them towards proposing two, three project in the BC. I think that we have been talking also on our wind project new site (ph) which is under hoof which is significantly very close to future LNG. We have initiated discussion, we have had open house in an area and so far we have a very, very good support from both the local community and the First Nation to promote project. I think that throughout the policy of Christy Clark wanting to have LNG going forward I think we can help having a social license to be LNG (ph) some renewable energy around that. So this is basically what we have been focusing on and I think that we have a good chance to be successful in the near future in those area.
Operator: Your next question comes from Ian Tharp with CIBC World Markets.
Ian Tharp - CIBC World Markets: Just going back to Hydromega if I could for a moment, it sounds like you're talking about three blocks of facilities now so Magpie, which sounds like you got a date certain there which is great. Just wondering the ordering of the other two, the Kapuskasing cluster and SM1. Is SM1 likely to come before the Kapuskasing projects?
Michel Letellier: Yes, maybe – as you know that one of the problem is that there is a cross security (ph) from the lender of Kapuskasing on Magpie SM1. So that’s maybe that SM1 and Kapuskasing can come together in order to solve that cross security. So we are working on the three blocks and I think that both the seller and the buyer are committed to complete all the transaction. Obviously Magpie is one step but we would love to be able to finalize the two other blocks as well.
Operator: Your next question comes from Sean Steuart with TD Securities.
Sean Steuart – TD Securities: A couple questions. Michel, you touched on some of the broad details but your prospective wind pipeline in Quebec that would be bid into the open RFP, if it is 1,000 MW roughly or around that number, would the vast majority of that be applicable to the Gaspésie 300-MW portion and just a little bit to the 150 MW bid? Just any context you can give on that front.
Michel Letellier: Well obviously when we enter into our species and I get very quiet on providing information. But I would say that we are very well equipped for all the three sectors.
Sean Steuart – TD Securities: And then maybe just more broadly if you could speak to I guess your longer term payout ratio philosophy and balancing growth with returning capital to shareholders and not just the steady dividend you have now but longer-term growth, how do you think about balancing that with your payout ratio philosophy?
Michel Letellier: Well, obviously we have a longer view where we want obviously to be comfortable and generate little bit of cash in order to support the growth. Like I always said is that it’d be very difficult to fund all the growth going forward with our internal cash flow because obviously so capital intensive and as soon as we get to have good project it’s hard to just fund it throughout our own cash flow. We want to make sure that we are going to feed the investor by growing the dividends slowly, surely and being sustainably able to keep it that way going forward and want to reassure people that we see our dividend to be sustainable and we are doing the action in order to have that dividend base sustainable over the long, long term possible. You have seen our actions that we are securing long hydro assets, the long term PPA. So that is going to stay. We want to make sure that we have a good currency and being competitive if there are some good assets to acquire. But obviously having a payout ratio in the range of 80% going forward is probably where we would be comfortable, that doesn’t mean that we could have spike here and there depending on how aggressive we are in the development or in acquisition. But particularly if we could reach something around the 80%, 85% and being comfortable with the sustainability, that’d probably be our long term focus on our policy.
Operator: Your next question comes from Jeremy Rosenfield with Desjardins.
Jeremy Rosenfield - Desjardins Securities: So just a few more questions on the Quebec RFP. At the first note you talked about the timing potential for the initial sort of 150 MW, I am just wondering if you have a real preference for when you would like to actually put projects into place given the existing growth that you have and also thinking about the constraints on internal cash flows that you mentioned previously?
Michel Letellier: Well, that’s a good question, Jeremy. The 150 MW is our most priority for us. We love to have it as soon as possible and I think that our partners are anxious and willing and ready to support the earliest possible advancement on the first 150 MW. Like I said It would be hard to do it before mid-2016 given the permitting process and also there is a big particular 150 MW in Gaspe Peninsula where it’s not possible to work in winter time. So one has to understand that portion, we have to build the roads in order to access top of the mountains. So typically if we start somewhere in the 2015, during summer time of 2015, we will build the road, we could build some of the base of the towers and we get to the equipment delivered maybe some in late 2015 and the balance of that fruition comes in early 2016. So it’s very hard to be in operation before late summer 2016.
Jeremy Rosenfield - Desjardins Securities: I'm assuming that you submit additional capacity into the other segments of the RFP. Would you try to similarly get projects into place as quickly as possible? Or would you try to sort of stagger it based on your access to capital? And then sort of the other question the follow-on to that is, how ready are you to use partnership agreements, stuff like you've done with Cartier, to try to sort of finance the project more readily?
Michel Letellier: Well, having people being partnered with us is easy part. So if we get to have good project at the good return then it’s may be problem to get the financing or the partner willing to be part of our project. So we would be focusing on making sure that our proposal would be the most competitive and most appealing to both the our local partner and Hydro-Québec, my understand is that Hydro-Québec will probably want to spread that 100MW over time making sure that they would provide for a secure supply for the substrate in the Gaspe Peninsula. So I think that they would be looking to have both 2016 most likely and so 2016 to 2020 will probably be their goal. But we haven’t seen the schedule yet, we haven’t seen the document for the RFP. But again like I said Jeremy, if we get a good project with a good return, I am not worried about – people are knocking on our door to help finance this good project. 
Jeremy Rosenfield - Desjardins Securities: Maybe if I could just ask one more just in terms of where you see the competitiveness of the bids that are going to go in, do you think prices have come down since the last round that Hydro-Quebec had called for and how does that position, let's say, Innergex versus others?
Michel Letellier: Well, I think that given the fact that we know the landscape, I think we can have also a very good relationship with local community, I think this is the most important thing, having a good partner to start with, because again this is not about producing a lot of kilowatts, it’s about making sure there is a good thread in local community that we create well in local area. Obviously the price is important but most important is making sure that we have a social license that we have a good partner and we have good project that makes sense. And I think we have those qualities in our project and we have the culture, we have the willingness to work in partnership with local community. We have shown and we have grown that we can do very good – as an example, Viger-Denonville project that we have work with the MSC (inaudible) which is part also of Viger-Denonville and we have had the great experience with them, very happy with how we managed the construction, how we managed development, and how we managed the financing. So based on that I think that we can be very competitive going forward in winning the support of the local communities.
Operator: Your next question comes from Jared Alexander with Canaccord Genuity.
Jared Alexander - Canaccord Genuity: Most of my questions have been asked. I just have one remaining here, and I was wondering if you could provide a little color on the $2 million settlement received in relation to an acquisition? I'm just curious as to what this was actually for and whether it fully settled all claims or if we should expect further payments in coming quarters?
Michel Letellier: It has the full speed on them, it would be a position of (inaudible). 
Operator: Your next question comes from Tania Maciver with Mackie Research.
Tania Maciver - Mackie Research: Just one last question. Is there any activity that you're seeing in Ontario or is that basically a third priority for you guys at this point?
Michel Letellier: That’s a good question. Ontario, well we would love to work in Ontario. But given the O&C ruling that came last week we’re little bit uncertain on how the government of Ontario will react and will readjust, either the FIT, will they cancel the FIT, will they come up with a different rule in order to have the program going forward. Again Ontario for us I think we would love to be able to do little bit more solar. We have some very good wind project in the northwest of Ontario, again in future partnership with local First Nation. But I might say that if you have with IB zone, with the government in Ontario is going to do, I like to hear because it’s a little bit hard to understand what they are going to do in the next few months but certainly we are working, we are on the fields, we’d love to be part of Ontario market. It’s just a little bit hard to see how it’s going to unfold in the next few months. 
Tania Maciver - Mackie Research: And is that also impacting any potential M&A of projects in the province?
Michel Letellier: We have seen couple of proposal out of that province. Obviously people are little bit more concerned and definitely there’s the social access in the wind in the south of Ontario that creates a little bit of uncertainty. We certainly are very concerned about any future acquisition that would be in that area and we don’t necessarily like the idea of trying to push project when they are not welcoming in area. So any M&A activities out of Ontario have that little bit of flavor, if I can express it this way.
Tania Maciver - Mackie Research: And then just in M&A activity overall, is your focus more on operating projects currently or are you still sort of considering additional development stage projects?
Michel Letellier: Well for the time being M&A I think we are quite busy and finalizing Hydromega and as you can see we have had great progress in our development. That doesn’t mean that we are not looking in M&A but it has to be really, really good, really focused in what it creates and most important it has to be accretive for us. So we are not super aggressive in the M&A per se but you never know. With M&A sometimes there is a good project, there is a good opportunity that comes along. So we want to be open to the idea. But certainly our focus is making sure that we drive value to the shareholders, we create value, I think we can create lot of value by getting prepared for RFP proposing good projects and winning them and that’s exactly what we are aiming at in the next few months.
Operator: Ms. Privyk, there are no further questions at this time. 
Marie-Josée Privyk : Thank you. Thank you everyone. We appreciate this opportunity to give you an update on our company. And please do not hesitate to contact us if you have any other questions. 